Operator: Good day, and welcome to BingEx' 2025 Third Quarter Financial Results Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Helen Wu from Piacente Financial Communications. Please go ahead.
Helen Wu: Thank you, operator. During this call, we will discuss our business outlook and make forward-looking statements. These comments are based on our predictions and expectations as of today. Actual events or results could differ materially from those mentioned in today's news release and in this discussion due to a number of risks and uncertainties, including those mentioned in our most recent filings with the SEC. The non-GAAP financial measures we provide are for comparison purpose only. The definition of these measures and our consolidation table are available in the news release we issued earlier today. As a reminder, this conference is being recorded. In addition, a webcast replay of this conference call will be available on the BingEx company's IR website at ir.ishansong.com. Furthermore, throughout the call, we will consistently use the company's brand name FlashEx to refer to its publicly listed entity, BingEx Limited. Joining us today from FlashEx senior management are Mr. Adam Xue, Founder, Chairman of the Board and Chief Executive Officer; Mr. Hongjian Yu, Co-Founder, Director and Executive President and Mr. Luke Tang, Chief Financial Officer. I will now turn the call over to Mr. Adam Xue.
Peng Xue: Thank you, Helen. Hello, everyone, and welcome to FlashEx Third Quarter 2025 Earnings Call. Amid ongoing external challenges in the third quarter, FlashEx continued to enhance our unique on-demand dedicated career model, further strengthening our core competitiveness to elevate service quality and user experience. We expanded service categories and scenarios, deepened user insights, broadened service touch points, tested new technologies and improved our dispatch algorithms. Meanwhile, we have steadily improved user engagement by focusing on high-value, time-sensitive sectors and leveraging refined operations to reinforce our brand reputation and boost user recognition. We also broadened our reach among both merchant and individual customers, building a strong foundation for long-term sustainable growth. For the first quarter of 2025, FlashEx recorded total revenue of RMB 1 billion with a gross margin of 11%. Adjusted net profit reached RMB 62.6 million, representing a 9% increase year-over-year. As of the end of the quarter, cash position stood at RMB 877.9 million, reflecting a healthy financial position. Let's move on to our operational initiatives for merchants and individual users. In the third quarter, we adopted a more refined tiered management approach for our merchant customers, optimizing response mechanisms and benefits within our existing service framework. For high-frequency merchant customers, we introduced a dedicated VIP support team offering direct one-on-one assistance to improve feedback efficiency and order fulfillment. We also launched a membership program that grants qualified merchants key benefits such as priority dispatching and peak hour surcharge favors, ensuring stable fulfillment rates and service quality even during holidays or peak demand periods. These core merchant customers generally have more mature operations, high-order frequency and steady demand with longer customer life cycles and stronger brand synergies that provide FlashEx with stable, predictable revenue, building a resilient income mode through long-term collaboration. In addition, we continue to focus on highly time and experience sensitive categories such as fresh flowers and cakes, expanding our merchant partnerships from simple delivery to collaborative operations. Building on previous initiatives like packaging design upgrades and delivery route optimization, we established specialized team to conduct customized fulfillment training each month, covering holidays, trends, consumer preference and more. These programs ensure that our riders are well trained in precession handling procedures for dedicated -- for delicate flowers and cakes, turning last-mile delivery into a seamless extension of our merchants brand experience. At the same time, we expanded our in-store service pilot program in key cities. Under this program, dedicated on-site representatives work directly with merchant customers to allocate delivery resources in real time based on peak hours and special events, improving delivery efficiency and fulfillment rates. For example, at a cake shop in Chongqing, FlashEx order volume grew fourfold from the previous quarter after in-store model was introduced in July. This success also encouraged nearby merchants to join the platform, unlocking additional order potential. By combining category expertise with in-store support, we help merchants enhance customer satisfaction, while reinforce FlashEx' unique advantages in premium delivery categories. This approach continue to strengthen recognition of our brand differentiated model and boost user loyalty. While deepening collaboration with high-frequency merchant customers, we also continue to expand our channels for acquiring new merchant leads. First, our business development team actively engaged with commercial districts and local communities to reach potential new customers. Meanwhile, we encourage and incentive our Flash riders to identify new stores during their daily deliveries. Compared with traditional shop-by-shop prospecting, rider-generated leads are less costly and better aligned with real business scenarios. This approach not only improved the efficiency of new merchant acquisition, but also creates a virtuous cycle that originally enhances our reach among small- and medium-sized business. For individual users, we remain focused on instant life cycle system positioning in the third quarter, actively expanded service scenarios to grow our user base. Since the second quarter, we have steadily introduced a range of new services for individual users in the FlashEx APP, including shopping assistance, parcel pickup, meal pickup, gift delivery and luggage delivery. Daily delivery volume across these 5 life cycle scenarios continue to grow in the third quarter, up by 15% from the previous quarter. We also explored new and emerging needs. For example, with rising demand in the electronic vehicle sector, we piloted an on-site battery charging support service that allows Flash riders to handle the manual process for car owners, saving them valuable time. Our offerings are designed to meet users' everyday needs, transforming FlashEx from a delivery brand into an essential part of their daily life. To further enhance the individual user engagement and experience, we added a new community section to the FlashEx APP, encouraging users to share their experiences, usage scenarios and personal needs. This interaction helps us gain deeper user insights and continuously improve our services. Meanwhile, they also naturally boost brand awareness, allowing us to more effectively promote new service features. As we continue to deepen our engagement with merchant customers and individual users during the quarter, we also focused our business development efforts on enterprise clients, a high-value user group and actively pursued outreach and partnership opportunities. Enterprise clients offer important benefits. They typically have long life cycles and high retention rates and require ongoing steady services. Their long-term value helps drive our steady and stable business growth. Based on these trends, we have created focused strategies for enterprise clients, targeting mutual growth through deepen collaboration. By tapping into enterprise clients' private traffic potential and having them improve service quality, we expand FlashEx user base, reach more industries and penetrate new service scenarios. This approach not only drives the business volume growth but also increases brand awareness, strengthening FlashEx' market recognition and reputation. As we grow our business base -- our user base, we prioritize improving technology and operational efficiency. In the third quarter, we teamed up with the Yuhang District government in Hangzhou and other partners to implement a citywide low-altitude logistics delivery solution, which has now reached the commercial testing stage. With more than 11 years of experience on nationwide network across 298 cities and over 100 million users, FlashEx provides precise order forecasting, set recommendation for drone takeoff and landing, route planning and smart dispatch support, positioning us as an early leader in urban drone delivery systems. As a key element of new productive forces, low altitude logistics not only fits well with FlashEx on-demand dedicated courier model, but also offers better solutions for long distance, time-critical and personalized orders. By combining drones with riders, we can better support deliveries in specific scenarios like heavy traffic, helping to fill service gaps and to improve delivery quality and user experience. FlashEx has always viewed our riders as our key strength. In the third quarter, we continued to enhance our incentive programs and create development opportunities for riders and offered educational support to families of eligible riders. These initiatives boost the rider sense of belonging as well as their career motivation, highlighting FlashEx' strong commitment to social responsibility. As we enter the fourth quarter of 2025, FlashEx will remain focused on steady growth in our core business, refining operations business-wide to drive comprehensive platform growth. We will deepen our efforts across key service areas, boosting our service capabilities and targeting the right user segments to grow our user base. We will also explore new service opportunities, strengthen partnerships and enhance the user experience, reinforce FlashEx unique position as a leading on-demand dedicated courier service provider and building a strong comprehensive edge -- competitive edge. Meanwhile, we will actively align with national policies and current trends, offering users a more diverse range of services to boost satisfaction. Through these efforts, we aim to achieve both commercial success and social impact, making positive contribution to society as a whole. This concludes my remarks. Now I will turn the call over to our CFO, Luke Tang. Thank you.
Le Tang: Thank you, Adam. Hello, everyone. This is Luke. Let me walk you through our third quarter financial results. Before I begin, please note that all numbers are in renminbi and all percentage changes are on a year-over-year basis, unless otherwise noted. In the third quarter of 2025, we delivered a solid financial performance driven by disciplined, refined operations and the strengthening of our differentiated business positioning. Our on-demand dedicated courier model continued to demonstrate strong resilience. In the third quarter, gross margin held steady at 11%, while non-GAAP net margin expanded to 6.2% from 5% in the same period of last year. Our shareholders' equity grew to RMB 839.3 million as of third quarter end 2025, up from RMB 747.1 million at the end of 2024. Additionally, we have demonstrated our commitment to enhancing shareholder value by repurchasing approximately 1.6 million ADS in aggregate as of November 18, 2025. Our revenues for the third quarter reached RMB 1,005.4 million compared to RMB 1,154.8 million in the same period of 2024. The year-over-year decline primarily reflects lower order volumes, amid ongoing competitive pressures in the market throughout the quarter. Our cost of revenues for the quarter was RMB 893.6 million, representing a decrease of 12.8% for the same period of 2024. This was primarily in line with the decline in revenues and also reflects our continued efforts to enhance operational efficiency. Our gross profit was RMB 111.8 million for the third quarter compared with RMB 130.3 million in the same period of 2024. Gross profit margin for the third quarter was 11.1%. Turning to operating expenses. Our total operating expenses for the third quarter were RMB 97.7 million comprised of RMB 42.9 million in selling and marketing expenses, RMB 37 million in general and administrative expenses and RMB 17.7 million in research and development expenses. Excluding share-based compensation expenses, our non-GAAP income from operations was RMB 23.7 million for the third quarter compared with RMB 46.2 million in the same period of 2024. Other income was RMB 2.5 million for the third quarter compared with RMB 5.8 million in the same period of 2024. The year-over-year decrease was primarily due to a lower amount of government grants. Our non-GAAP net income for the third quarter reached RMB 62.6 million, representing an 8.6% increase compared with RMB 57.6 million in the same period of 2024. Our cash position remained healthy with cash and cash equivalents, restricted cash and short-term investments totaling RMB 877.9 million as of the third quarter's end. In summary, our third quarter results highlight the resilience of our business in a dynamic and competitive market. By leveraging our refined and differentiated operational strategy, loyal core merchant base and the continued expansion of our user scenarios, we are strategically positioned to capture emerging opportunities and drive sustainable long-term growth. That concludes our prepared remarks. We would now like to open the floor to your questions. Operator, please go ahead.
Operator: [Operator Instructions] We will take our first question, and the question comes from the line of Stephen Zhang from CICC.
Yu Zhang: I'm Stephen from CICC. I've got 2 questions here today. My first question is, could you please share our third quarter order volume and ASP trends broken down by 2B and 2C segments? Given the subsidy rollbacks of food delivery and colder weather in the fourth quarter, have these factors had a measurable impact on order growth? Finally, what is our outlook for order volume trends next year? And what are the key drivers? And my second question is, what is the management's outlook on the trend and potential for future reduction in the company's expense ratio?
Peng Xue: Okay. Thank you for your question. I will answer your first question, and then my CFO, Luke, will answer the second question. Well, for the first question, we believe that the scaling back of subsidies and the regulatory standardization in the food delivery industry are shifting the competitive focus from lower price to better service, fostering a more stable market environment. This regional environment allows FlashEx to fully leverage its differentiated value proposition of on-demand dedicated courier. Users are increasingly willing to pay for reliable timeliness, a sense of trust and security and perceivable quality of service. Accordingly, we remain committed to investing resources in expanding service scenarios and refining the user experience. On one hand, we continue to strengthen our positioning as an instant life cycle assistant, intensifying the penetration of the key everyday scenarios and uncovering users' latest needs. On the other hand, we are enhancing collaboration with our merchant clients, adopting a collaborative management approach to elevate their service quality and customer experience, thereby increasing order frequency. On the operational and delivery side, we continuously optimize operating efficiency, while strengthening the training and support team system for our Flash riders. In the third quarter, the average delivery time was 26 minutes. Improved user experience drives repeat orders, ensure stable rider income and attracts high-quality delivery resources, creating a positive cycle where better service experiences lead to more franking orders, which in turn drives higher income for riders. In the third quarter, the company's overall order volume demonstrated strong resilience despite external market fluctuation and ASP achieved a year-over-year increase. Looking ahead to the fourth quarter and 2026, we will continue to amplify our time efficiency advantage, deepen scenario penetration, expand the overall user base and increase order frequency from merchants through the collaborative management model, driving FlashEx long-term and sustainable growth.
Le Tang: Thank you, Stephen and Adam. This is Luke. I will take your second question. In recent years, the company's overall expense ratio has remained on a stable and gradually declining trajectory, primarily driven by our sustained investment in refined operations and efficiency enhancements. At the same time, we have been expanding the channels of new user acquisition, effectively lowering client acquisition costs. On the merchant side, we further diversified our new merchant discovery approach. We encourage riders to identify new stores during their deliveries. Additionally, through deep collaboration with the core merchants, including on-site support and coordination, we have achieved nearby merchants to join the platform, achieving effective synergies in merchant acquisition. Furthermore, in this quarter, we focused on unlocking potential among enterprise clients by leveraging their private domain traffic, effectively increasing our brand reach to border end users. From a medium- to long-term perspective, we believe there remains room for further optimizing of our expense ratio with continued revenue growth and improved client structure and ongoing upgrades to operational strategies, we expect the expense ratio to trend downward in a healthy and controlled manner. While maintaining strategic investments, we will continue to optimize our cost structure, ensuring that the company can realize stronger operating leverage as market competition stabilized. Overall, with the continuous improvement in operational efficiency and solid foundation for the scale, the company's expense ratio retains potential for further reduction in the future. Thank you.
Operator: And that concludes the question-and-answer session. I will now hand the call -- turn the call over to Helen Wu for closing remarks.
Helen Wu: Thank you once again for joining BingEx 2025 Third Quarter Financial Results and Business Update Conference Call today. If you have any further questions, please contact the IR team at BingEx or Piacente Financial Communications. Thank you, and have a great day.
Operator: This concludes today's conference call. Thank you for participating. You may now disconnect.